Operator: (Operator Instructions) Welcome to the CSX Corporation First Quarter 2010 Earnings Call. For the opening remarks and introductions I would like to turn the call over to Mr. David Baggs, Assistant Vice President, Investor Relations for CSX Corporation.
David Baggs: Welcome to our First Quarter 2010 Earnings Call. The presentation materials that we’ll review this morning along with our quarterly financial report and our safety and service measurements are available on our website at www.CSX.com under the investor section. In addition, following the presentation a webcast and podcast replay will be available on that website. Here representing CSX this morning are Michael Ward, the Company’s Chairman, President and Chief Executive Officer, Clarence Gooden, Chief Sales and Marketing Officer, David Brown, Chief Operating Officer, and Oscar Munoz, Chief Financial Officer. Before begin the formal part of our program this morning, let me remind everyone that the presentation and other statements made by the company contain forward looking statements and actual performance could differ materially from the results anticipated by these statements. In addition, let me also remind everyone that at the end of the presentation we will conduct a question and answer session with the research analysts. With 27 analysts covering CSX at this time, I would ask, as a courtesy to everyone, to please limit your inquiries to one primary and one follow up question. With that let me turn the presentation over to CSX Corporation’s Chairman, President, and Chief Executive Officer, Michael Ward.
Michael Ward: Last evening we reported first quarter earnings per share from continuing operations of $0.78 up 22% from the same period last year. We’re encouraged by what we see in the external environment as the industrial economy continues to gain momentum. Revenues in the quarter improved 11% driven by volume gains across most markets, core pricing that reflects the value of rail transportation and the impact of higher fuel costs reflected in our fuel surcharge program. CSX employees performed very well. Our network remained fluid and is running even more safely. As David will discuss, we recorded our best personal injury rate in the company’s history, a great achievement for our employees. A combination of higher revenues, a strong productivity, resulted in a first quarter record operating income of $634 million up 21% from the prior period and a 230 basis point improvement in our operating ratio to a first quarter record of 74.5%. We’re proud of the cost discipline and the commitment to safety and service that our employees are bringing to the job. We told you that we thought that this high level of performance and commitment would position CSX to stand out as a unique value in the economic recovery. We’re seeing that happen today and that is why we expect strong double digit growth in earnings per share for the year 2010. Now let me turn the presentation over to Clarence to discuss our markets in more detail.
Clarence Gooden: In the first quarter of 2010 an improving economy helped most of the markets that we serve rebound from the lows experienced last year. Manufacturing sector expanded again in March as reflected in a reading of 59 from the Institute for Supply Management Manufacturing Index. Please recall that a reading above 50 indicates growth. This is the eighth consecutive month that the index has shown growth. Also, inventory replenishment continues to play a significant role in the recovery as inventories remain below target levels in several markets. At the same time, we remain committed to delivering a safe and reliable service product and we remain focused on pricing our services to reflect the value of rail transportation. Now let’s look at a change in revenue for the first quarter on the next slide. CSX revenue increased 11% to nearly $2.5 billion due to volume growth, core pricing gains, and the impact of higher fuel costs reflected in our fuel surcharge program. As you can see on the chart, volume increases drove $106 million of the year over year revenue growth. Also, the combined affect of rate and mix accounted for $101 million of the increase, reflecting pricing gains across all markets as we continue to sell the value of rail transportation. Finally, as you look further to the right side of the chart, the impact of higher fuel costs increased our fuel recovery $37 million in the quarter. Let’s turn to the next slide and take a closer look at overall volume changes across the markets that we serve. Total volume of nearly 1.5 million units was up 5% versus the first quarter 2009. Looking at the bars, you can see that year over year volume change was greatest in automotive at 64% followed by 14% growth in intermodal and 7% growth in merchandise. Collectively these three markets which represent 75% of our business grew approximately 13% for the quarter. Yet these gains were partially offset by 13% decline in coal. While coal volumes were down for the first quarter we expect coal volumes to increase for the full year 2010. Turning to slide eight, let’s look more closely at our pricing results. The line on this chart highlights the year over year change in total revenue per unit which includes the impact of price, fuel, and mix. During the first quarter, revenue per unit increased 5.9%. The bars on the chart show the increase in price on a same store sales basis; this excludes the impact of fuel and mix. Same store sales are defined as shipments with the same customer, commodity, and car type, and the same origin and destination. Price on a same store sales basis was up 5% for the quarter. These shipments represent approximately 75% of the total traffic base. Our improvements in price continue to reflect the unique value CSX is providing to our customers as well as the relative value of rail transportation. Looking forward, we continue to expect core price increases to exceed rail inflation. Now let’s take a look at each of the major markets that we serve, starting with coal. Coal has first quarter revenue of $736 million down 1% versus 2009. Here the decline in volume more than offset a 14% increase in revenue per unit which reflects the improvement in yield, higher fuel recovery, and positive mix. Domestic utility demand remained lower year over year due to utility stockpiles that remain above normal. That said, stockpile levels have moderated, reflecting the winter weather and an increase in burn levels as electrical generation increased nearly 5% for the CSX served territories. On a more favorable note, export coal volumes grew 21% year over year as demand was strong for US metallurgical coal to China. And in the industrial sector, domestic metallurgical coal, coke and iron ore volumes grew 12% on stronger steel production. Looking forward, utility demand is expected to improve as inventories return to more normal levels and year over year comparisons ease, yet natural gas prices remained at low levels leading to some displacement at utilities. Finally, we expect strength in both exports and the industrial sector to continue in 2010. Turning to the next slide, let’s look at the automotive market. Automotive had a first quarter revenue of $170 million up 79% versus 2009 driven by 64% increase in volume and a 9% increase in revenue per unit. The increase in volume was drive by improved demand as North American light vehicle production increased during the quarter from a low base, extensive customer incentives, loosening credit markets, and the return of lease programs drove the improvement in auto production. Looking forward, North American light vehicle production for the full year is expected to increase 28% reflecting the increase in sales during the second half of last year related to the Cash for Clunkers stimulus program. In addition, the new CSX served KIA assembly plant at West Point, Georgia reflects new industrial development that commenced shipments in late 2009 and is expected to wrap up production throughout 2010. Turning to the next slide, let’s review the results in merchandise. Merchandise had first quarter revenue $1.2 billion up 11% versus 2009 driven by 7% increase in volume and 4% higher revenue per unit. The metals and chemical markets experienced volume growth due to increased industrial activity, increased automotive production, and growth in shipments of frac sand used in natural gas drilling. Volume grew year over year in the agricultural related markets due to continued growth in ethanol traffic and increased shipments of feed ingredients to the export markets. Also, phosphates and fertilizers grew on increased export and domestic demand as buyers replenished inventories. Finally, continued housing and construction weakness led to lower volumes in forest products and emerging markets. Looking forward, the ongoing economic recovery is expected to result in growth across most markets led by growth in the non-housing related markets. Turning to our intermodal results, intermodal had first quarter revenue of $323 million up 20% versus 2009 driven by a 14% increase in volume and a 5% increase in revenue per unit. Overall revenue per unit was up 5% in the quarter on an increased fuel recovery, contract price increases in the international sector and a modestly improving truck pricing environment. The international market led to volume increase with 18% growth due to US inventory replenishments and improving US exports against the comparatively depressed prior year volume level. Domestic volumes grew again this year, up 11% due to continued over the road conversions and expanded service offerings. As we look forward we expect favorable year over year international revenue, reflecting stabilizing consumer demand, improving global trade, and easier prior year comparables. On the domestic side we expect pricing improvements to continue with a stabilization of truck capacity and market demand. However, we will see a revenue impact from our new agreement with the Union Pacific Railroad which I will detail on the next slide. On March 29th, CSX and the Union Pacific launched the new UMAX domestic interline container program. This new program provides customers with access to more than 20,000 53 foot containers and it features more than 600 service lanes with faster and more frequent train schedules. As the new interline program replaces the previous purchase transportation agreement, domestic volumes are expected to decline from their current run rate due to the loss of the off core traffic that solely ran on the Union Pacific network. Further, the anticipated and favorable revenue impact is approximately $40 to $50 million on a quarterly basis. At the same time, the impact on operating income is neutral in the near term but positive in the longer term. The new UMAX program generates long term upside potential as this new transcontinental service is among the fastest and most efficient available to customers. Now turning to my closing slide, the macro economic recovery which began in late 2009 is expected to continue throughout this year. The US industrial production is expected to grow in excess of 4% for each quarter in 2010. As a result, the outlook for second quarter volume and revenue is favorable as line haul revenue growth is expected across nearly all markets including coal. At the same time, we continue working closely with our customers to develop new business opportunities as reflected in over 70 new startups across the CSX network during the last 12 months. Given what we are accomplishing, we remain confident that CSX stands out as a compelling value for customers in this recovery, especially as they seek transportation that is both value prices and environmentally sound. Thank you and let me turn the presentation over to David to review our operating results.
David Brown: Leadership, Discipline, and Execution continue to be the foundation of our company’s strong financial performance. In the first quarter, even with improving volume and more challenging winter weather, our employees delivered excellent safety results, strong productivity and efficiency efforts and fluid network performance. Our excellent safety results included an all time record in personal injuries as we continued to be a leader in one of the nation’s safest industries. Our strong productivity efforts helped produce the record financial results including the 230 basis point improvement in the operating ratio that Michael mentioned earlier. Finally, the network remained very fluid, although key service measurements certainly reflected the impacts of the more challenging weather we faced in this year’s first quarter. Now let’s look at some of the details, starting with safety. Slide 17 shows the company’s continued strong results in both personal injury and train accident performance over the last four years. In the first quarter, the FRA personal injury rate improved 38% to a new all time record of 0.81. This marks the second consecutive quarter that we have registered new records. Even more gratifying is the fact that more of our employees are going home to their family’s safe and injury free. Looking at train accidents, our performance improved here as well with a rate of 3.13 for the quarter. This represents a 14% improvement from last year and reflects our commitment to keep the communities we operate through safe as well. These results, which we achieved through leadership and a sustained effort by all of our employees, keep us on the path towards our ultimate goal of zero injuries and zero train accidents. Now let’s look at our service performance on slide 18. Overall, the network remained very diligent during the quarter. Although key service measures declined from recent highs, reflecting the more challenging weather we faced this year. Looking at on-time performance, originations declined to 69% and arrivals declined to 67%. While down, these levels still supported train operations that remained very fluid during the quarter. Turning to network performance, you can see that velocity declined to 20.9 miles per hour and that terminal dwell increased to 25.8 hours, primarily reflecting the decline in on-time performance. I’m confident that with our team’s commitment to serving our customers safely and reliably that we will improve these measures going forward. Turning to slide 19, let’s take a look at network efficiency. As Clarence mentioned, volume grew 5% during the first quarter. At the same time, total crew starts were down 2% collectively as we handled the increased volume within the existing train network. That network has been stable at these levels since the end of the first quarter last year. As volume continues to grow, we will need to increase our resource levels to meet the growing demand on our network. At the same time, we will actively manage our resources to the optimal level that supports both the increasing business activity and the need to provide our customers with a strong service platform. Now let’s look at key resources. As you can see, we continue to have a number of employees and equipment available to support the increasing business activity. Although down from the peak, we still have over 1,000 train and engine employees furloughed and many of these employees will return to work as needed. In fact, a number of furloughed employees returned to work during the first quarter to offset attrition and to support volume growth at specific locations. As business levels continue to improve, we look forward to calling additional employees back to work. At the same time, we have also started hiring employees in specific locations where we have significant growth or attrition and anticipate a need for new employees later in the year. For example, we are hiring in key corridors where export coal volumes ramped up quickly. Looking at readily available equipment, we still have 272 serviceable locomotives and over 12,000 freight cars in storage. As you can see, these levels are also down from the peak and we continue bringing locomotives and freight cars out of storage to support the growing volume levels. Now let’s wrap up on the final slide. Looking forward, we will build on our momentum in safety and continue to be a leader in one of America’s safest industries. We will drive increased productivity, control costs, and manage resource levels closely as volumes grow. Finally, we expect the network to return to higher performance levels and for service reliability to improve for our customers. Our employees hold themselves and each other accountable for delivering a strong service product. It is the foundation of our success with our customers and for delivering shareholder value. Now let me turn the presentation over to Oscar to review the financials.
Oscar Munoz: Let me begin with an overview of the quarter’s results starting at the top of slide 23. Revenue improved 11% at $2.5 billion led by volume, pricing, and the impact of higher fuel costs on our fuel surcharge program. Expenses were up 8% or $132 million with 65% of that increase driven by higher fuel prices. In addition, labor inflation plus higher incentive compensation impacted the quarter. Finally, continued productivity improvements largely offset the cost increase associated with the higher volume. Our continued attention to cost discipline, coupled with top line growth resulted in operating income of $634 million. This represents a first quarter record and a 21% gain from last year. As we look below the line, other income was up $8 million with real estate sales being the largest driver. Income taxes were $197 million in the first quarter and do include a $7 million one time charge related to the recent healthcare reform legislation enacted by Congress. This additional expense resulted in a reported tax rate for the quarter that was slightly above our normal range. All in we finished the quarter with EPS from continuing operations of $0.78 an improvement of 22% versus last year and consistent with our strong double digit earnings guidance for the full year. With that background let’s take a look at our expenses in more detail, starting with labor. Labor costs increased 10% or $67 million from last year. Two items are driving this variance; incentive compensation has increased $48 million due to both our stronger earning production coupled with the production business expense in the first quarter 2009. As a reminder, incentive compensation is both for management and also our contract workforce on performance based agreements. Looking forward, we expect this variance to moderate somewhat but we will continue to see year over year headwind of approximately $20 million each quarter as we cycle lower 2009 incentive payouts. Also, as discussed last quarter, CSX and the rail industry are facing rising health and welfare costs as well as the normal increase in wages. In the first quarter these items accounted for $40 million increase in labor expense. Looking ahead we expect a similar amount per quarter for the remainder of the year. Partially offsetting these costs was our continued productivity efforts which produced savings of $34 million. Looking at the chart on the left, average headcount for the quarter declined by nearly 6% reflecting efforts throughout 2009 to adjust our workforce to business levels as volume declined. Finally, we have other expense of $13 million. Approximately half of this is related to ongoing pension related costs with the balance being more unique to the quarter. Now let’s continue our expense review on slide 25. MS&O expense declined 5% or $24 million versus last year. Walking down the table to the right we had insurance and legal recoveries of $17 million including a settlement of the remaining claims from Hurricane Katrina. Additionally, reflecting a continued trend of safety improvements over a number of years, we realized $7 million of cost reduction from the ongoing benefits of last year’s casualty reserve adjustment. Lest we forget, although not on the chart, the cost of the increased volume and inflation again were offset by our continued focus on productivity. Looking ahead and as a reminder, in the second and fourth quarters of 2009 we had favorable casualty reserve adjustments of $85 million and $20 million respectively which we will be cycling this year. Now let me discuss fuel on the next slide. Total fuel costs increased $92 million or 48% versus last year. Looking at the table to the right, increasing fuel price accounted for nearly the entire variance as CSX average cost per gallon climbed over 50%. Volume accounted for $7 million incremental expense but those costs were largely offset by a $5 million improvement in efficiency as measured by gallons per thousand gross ton miles. The chart to the left highlights the continued improvement in this efficiency measure as indicated by the 3% improvement on a year over year basis. On the next slide let’s review the remaining expenses. All other expenses collectively decreased 1% or $3 million versus last year. Beginning with inland transportation these costs increased $5 million due to gains in off core and transcontinental intermodal volume. As Clarence discussed earlier, we expect a quarterly reduction of intermodal revenue of approximately $40 to $50 million. We also expect a similar reduction in inland transportation expense. Moving to rent, they declined $13 million related primarily to the cycling of unfavorable settlements with other railroads that are current in the first quarter of 2009. Looking forward you should expect our rent expense to continue to move in line with volume. Finally, depreciation was up $5 million year over year. That’s a net increase in our asset base was partially offset by a lower depreciation rate from the life studies completed in the fourth quarter of 2009. Now that we’ve reviewed our expense items in detail, I’d like to update you once again on our scorecard as we move to the next slide. As we did all throughout last year while our volume was declining, let me give you a view of our cost structure now that volumes are increasing. We’ve updated our scorecard to include an additional column on the far right that adjust our expenses for fuel price. Let’s review those fuel adjusted results within each category. First, short term variable expenses increased only 1% despite a 5% increase in volume. This 5% increase in car loads also translated into a 5% increase in ton miles a standard measure of workload for our industry. Next, our long term variable expenses increased 2% driven primarily by inflation, affecting our network crews as well as some weather related expenses. Finally, our fixed and indirect expenses increased by 4% led by the previously mentioned incentive compensation, partially offset by the insurance and legal recoveries which are included within the general and administrative category. Collectively we were able to mitigate the impacts of inflationary pressures and volume gains through continued productivity improvements. Overall, after normalizing for the impact of fuel price, total operating expenses increased 3% in the quarter in support of that 5% volume increase. Moving forward we are committed to maintaining the appropriate level of resources against improving volumes and we look forward to updating you periodically on our cost structure. Now let me wrap on slide 29. As the economy recovers we are seeing growth in many of our markets and expect that strength to continue. As we execute our operating plan and generate cash flow for shareholders we remain committed to investing in the long term future of our business. To continue that requires a balanced regulatory environment which we continue to advocate for in Washington. As we communicated earlier, we will invest $1.7 billion in 2010 with $170 million devoted to positive train control. The Federal Railroad Administration has released its final rule and we are finalizing implementation plans to be filed later this week. Because of the ongoing work to ensure compliance and the timely completion of PTC our current estimate of this multi-year investment has increased and is at least $1.2 billion. Finally, our focus on safety, service and productivity as well as the superior value tied to our customers underlie the strength and our ability to deliver strong double digit earnings for 2010. Our actions have allowed us to emerge from the recent recession as an even stronger company and will continue to allow us to leverage the benefit of an improving economy. With that I’ll turn it back over to Michael.
Michael Ward: When we stand back and look at CSX we see a strong company with a culture and a track record of continuous improvement and a strengthening economy. We believe that recovery is sustainable but in any case we are keeping our focus on the fundamentals of safety, service, and productivity. This has served us well through excellent and severe economic conditions and today as the economy continues to recover. It is also critical that we continue to look over the horizon with respect to capital and the future needs of our customers. Our commitment to the future has been evident over the past three years as we have invested approximately $5 billion in our network and again this year as we add another $1.7 billion. Railroads must maintain a safe, service ready network and pave their own way. The regulatory framework in affect today allows us to do that. As you are all aware, there continue to be serious discussions in Washington concerning potential regulations that would have an impact on the railroads. Though the surface transportation board reauthorization bill has not moved forward due to other legislative priorities, we have remained in active discussions with Congress. The outcome of this legislative process is critical. The current regulatory framework allows us to provide a safe, essential and environmentally friendly transportation service and build our network for the future. In the last five years the major US railroads have invested over a remarkable $40 billion plus. Every government study out there says that even that pace will not be enough to meet the transportation needs of the next 20 years. That investment and the associated job creation will not be possible without future earnings growth to support it. That is the decision that’s on the table in DC, to build or not, to create jobs or not, and that’s why we remain concerned about potential legislation and continue to be active in working for a balanced solution. At a time when the US competitive advantage for manufacturers is critically needed we provide a unique and compelling benefit for US businesses in the global marketplace. We want to keep it that way for our customers, our employees, our communities and for you our shareholders. With that, we’ll open up for your questions.
Operator: (Operator Instructions) Your first question comes from William Greene – Morgan Stanley
William Greene – Morgan Stanley: I’m wondering if we can talk a little bit about the capacity in the network. There was a time maybe a quarter or two ago where we talked about the merchandise network having sort of 20% to 30% capacity or the ability to add cars to that. I’m wondering if you can add some color where we stand there, how much is left before you really have to start adding back employees and resources above and beyond what you’ve still got furloughed.
David Brown: Certainly we stand behind that upside, it really depends a lot on the quarter and the lanes and the business areas where volume is coming back. We’re seeing volume come back in automotive and that tends to mean additional train starts where some of the other general merchandise volumes are returning we’re able to absorb that into our existing network. We’re always looking at that operating plan what we call the one plan and we will make additions in terms of additional train starts as we need to do that to serve our customers but as we stand today a large part of the volume that’s coming back now is being absorbed into the existing current one plan.
William Greene – Morgan Stanley: Do you still have a lot left in that, think about a load factor perspective?
David Brown: That really varies considerably by the lane and again by the type of traffic that we’re talking about. There’s considerable upside in some lanes maybe a double digit number and some are getting closer to a capacity level that’s a single digit opportunity for growth before additional starts occur.
William Greene – Morgan Stanley: On inventories, when you talk to your non-utility customers, do you have a sense for whether they’ve rebuilt their inventories or are they still running leaner and there’s kind of a rebuild or a restock left to go?
Clarence Gooden: We’re finding that they’re still running leaner. For example, in the steel industry the forward servicing centers are still building inventory as they go. That’s been true in some of our chemical markets; it’s less true in our paper/forest product markets.
Operator:
Scott Griffin – Wolfe Research LLC:  In the past you’ve talked about 4% to 5% pricing for the year. I don’t think I heard a number this quarter but with 5% in first quarter and rcath looking like it’s going to start working for you do you see a chance for some upside to that 4% to 5%?
Clarence Gooden: We’re going to stand by our guidance that we’ll be in the 4% to 5% range.
Scott Griffin – Wolfe Research LLC: Sticking with pricing, can you give a little color on coal yields, they were a lot stronger than we expected. What’s driving that, is it the export, some new contracts, can you give some color and how sustainable is that?
Clarence Gooden: There were three big factors that drove that. The first was our price increases in both our export and domestic markets. The second factor was the average length of haul increased as well as our tons per car. The third factor was higher fuel surcharge recoveries. Those were the three factors on the first part of your question. On the second part of your question, which is can we sustain this going forward, the answer is absolutely yes.
Scott Griffin – Wolfe Research LLC: Can you give some color in terms of headcount, it was flat sequentially over fourth quarter. It sounds like the people are starting to come back. What kind of magnitude of sequential headcount increases do you expect going forward?
Oscar Munoz: With regards to headcount obviously will be very sensitive to the volume increase in making sure we have enough folks. I think the clear line of sight we have right now obviously there’ll be some sequential ramp up over this next quarter. We’re thinking between 1% and 2% above prior year headcount for the second quarter and then we’ll keep updating you as the course of the year goes by.
Operator: Your next question comes from Ken Hoexter – Merrill Lynch
Ken Hoexter – Merrill Lynch: I want to talk a bit about the UMAX business and what impact we can see on the margins. Are you basically saying this was all break even business that despite the fact that you were getting such low rates on their network. If you give this up what do you lose by giving it up?
Clarence Gooden: First I think you’re going to see the margins in the business go up in general in the intermodal business particularly as truck capacity starts to ease and we’re able to price more and more to the market. That’s the first point in your question. The second point, we were making money in the intermodal business on a transcont basis and its based on what we were able to do in the East on that and certainly a third factor in the past year that has driven the profitability in the programs was the ability of fuel surcharges to apply which intermodal has obviously an advantage versus the truck transportation in doing that. What was the second part of your question?
Ken Hoexter – Merrill Lynch: I was wondering if there was something that you gave up in order to move away from the contract early?
Clarence Gooden: No, I think it was just a natural evolution that came in that contract, the marketplace was changing, as we saw opportunities to grow our business we decided it was time to change the business model that we had. I don’t think we could have picked a better partner to do that with than with Union Pacific, they run a very fine intermodal network. It has given us, as we’ve pointed out, more than 600 lanes to put the service in. It is the fastest scheduled service on a transcontinental basis in all of the major markets in the East. It was a very positive thing for us.
Ken Hoexter – Merrill Lynch: On coal, you talked about length of haul being one of those, is there something that shifts that brings that whether it’s bringing more stuff to the barges, something that shifts back that can adjust that pretty quickly or is that business that disappeared. Can you talk a little bit about that in detail?
Clarence Gooden: A main driver in that mix was actually less river coal than we normally ship. As you know, better than most, the river market is a highly volatile market as the year progresses. It was actually less short haul business as opposed to more longer haul business.
Ken Hoexter – Merrill Lynch: So that’s something you could see snap back pretty quickly?
Clarence Gooden: You could.
Operator: Your next question comes from Tom Wadewitz – JP Morgan
Tom Wadewitz – JP Morgan: I wanted to ask in terms of the coal volume outlook. Can you give us a little bit of perspective on some of the drivers for volume looking forward? I think last quarter you gave some information on utility stockpiles and if you could give a little sense of where you think stockpiles in your service territory are now and also the potential for further export orders from China or elsewhere to potentially add even additional demand for what you’re seeing today.
Clarence Gooden: There are three factors that are influencing coal in your question. First the export market is going to stay very strong for us both through Baltimore, Newport News and through Mobile Alabama. We feel very positive about what’s happening there. Secondly, on the stockpiles they are trending downward, they’ve been cut almost in half as a result of the severe winter weather we experienced and the electrical generation CSX serves territory on a year over year basis is up about 5%. The only mitigating factor that we see in that is should natural gas prices drop precipitously from where they are now. On the China question if we could have more export coal, indirectly we may benefit from China taking more thermal tons as that makes a shift in the waterborne transportation and you are in fact seeing the API2 Thermal index in Europe start to trend upward in the short term and the longer term forward curve of that is moving up.
Tom Wadewitz – JP Morgan: In terms of pricing, if you’re right at the high end of your 4% to 5% range in first quarter it seems that there’s a lot of potential for this truckload market to really substantially tighten through the year which should benefit your intermodal also as you see strength in volumes perhaps you could be more aggressive on your rail to rail competitive business. Do you think there’s a chance that you actually see the pricing accelerate through the year or how would you tend to view that?
Clarence Gooden: Are you talking about intermodal pricing?
Tom Wadewitz – JP Morgan: Your pricing overall.
Clarence Gooden: We’ve got currently about 85% of our contractual business already signed and in place. We’ve got a fairly good clear line of sight to the remaining 15% of the business. I want to stay with our guidance that’s at the 4% to 5% range for right now.
Operator: Your next question comes from Chris Seraso – Credit Suisse
Chris Seraso – Credit Suisse: Typically your full year operation ratio is about two points better than what you post in the first quarter. Are there any reasons to believe that that pattern won’t hold this year; is there anything in the first quarter that was particularly strong that you expect to moderate as we go through the year?
Oscar Munoz: I think the guidance we’ve given is that we will have operating ratio improvement over the course of the full year so we’ll stick with that for now.
Chris Seraso – Credit Suisse: That order of magnitude doesn’t find that unreasonable?
Oscar Munoz: We think the operating ratio will improve over the course of the full year.
Chris Seraso – Credit Suisse: The bridge that you gave on page six for revenue where you talk about volume, rate, mix and price, do you have something like that that you can help us with sequentially versus Q4 to Q1?
Oscar Munoz: No but again it’s roughly the same order. Obviously volume increased significantly sequentially and price continued to show its force and then the fuel surcharge. The numbers would be slightly different but those would be the three main drivers.
Operator: Your next question comes from Rob Salmon – Deutsche Bank
Rob Salmon – Deutsche Bank: On the intermodal discussion could you give us a sense how pricing trended sequentially in that market given some of the dynamics that we’re seeing on the truckload market with spot pricing increasing and the higher fuel surcharges?
Clarence Gooden: Our same store sales in pricing was up versus last year. We were able to take some increases in our international traffic area, we saw domestic prices in the first quarter start to firm up, we saw a tightening of truck capacity. I think you’ve also seen that in regards to the Morgan Stanley truck index. We saw a firming of prices in the first quarter.
Rob Salmon – Deutsche Bank: Does that give you cause to go back to the market in terms of trying to get maybe a little bit more looking out into the back half of the year?
Clarence Gooden: Absolutely, we try every day to price that market and get every penny that we can conceivably, reasonably justify and provide value to our customers.
Rob Salmon – Deutsche Bank: In the quarter obviously you guys purchase quite a few shares, $230 million worth of repurchases in the quarter which was a return to share repurchases. How should we be thinking about that element of returning cash to shareholders as we look out from here?
Oscar Munoz: As you may know we have a balanced deployment of capital that we have adhered to for a while. As business outlook and markets continue to improve you will see us obviously investing in our business, increasing our dividends and getting back in the share repurchase market.
Operator: Your next question comes from Scott Malat – Goldman Sachs
Scott Malat – Goldman Sachs: On the on-time train originations I know weather obviously has a lot to do with that. I was wondering if there’s some volume impact to this, meaning is it harder to get the trains back on schedule after disruption now that volumes have increased a bit. As we move through the recovery, how tough does it get to deal with disruptions like weather?
David Brown: Weather slows us down, there’s no question that winter weather makes the railroad run slower. We do then apply the resources if necessary to return our service levels and our originations and arrivals to the high level that we expect to be at. Volume is really now a factor in that at this point. I guess there is some level of volume that could be a factor but we’re no where near that level now. Really we’re dealing with winter impact and the necessary resources it took to recover from that. We’re seeing that snap back to those higher levels and we’ll continue on that basis.
Scott Malat – Goldman Sachs: On some train sizes, we’ve talked before about maybe 35% of coal trains are at 110 cars or more, that’s up significantly from really nothing I think in the beginning of 2009. Where is that now and how do we just think about train sizes on both commodities?
David Brown: What you’re referring to is our TSI initiative which is an initiative we have in all of our bulk commodity areas to partner with our customers to increase train sizes to the most productive level possible, we’ve seen gains in that. I know we’ve had some information out in some of the analyst meetings about where we are where we’re headed in the future. We continue to see very positive improvements there in all those bulk commodity areas and are continuing the strong focus we have on that.
Operator: Your next question comes from Gary Chase – Barclays Capital
Gary Chase – Barclays Capital: You said, and I didn’t quite understand if you said coal increases for 2010 on a full year basis or whether you intended to say for the rest of the year you expect that kind of gain, because obviously that would be a big difference?
Clarence Gooden: On a full year basis.
Gary Chase – Barclays Capital: Is there a way to quantify, can you give us a rough sense of what the core price impact was specific to coal?
Clarence Gooden: I don’t know right off the top of my head to be honest with you.
Oscar Munoz: We don’t really provide that level of detail, just what we have on those charts.
Gary Chase – Barclays Capital: When you were answering the question about balanced return of capital, is there a way we can think about a balance sheet that you’re targeting, what you think would be appropriate, is that how you will manage, how you’ll quantify what’s appropriate to return to shareholders?
Oscar Munoz: We’ll continue the balanced deployment will continue to be an issue, beyond that staying within investment grade is certainly a key factor for us. All those issues evolve over time, there’s probably more specific areas that we could be focused on, again will evolve over that as again the market and the business issues continue to look favorable we’ll obviously be more specific.
Operator: Your next question comes from Matt Troy – Citigroup
Matt Troy – Citigroup: I wanted to ask about PTC specifically the CapEx guidance in fourth quarter was above $750 million now that’s up to $1.2 billion or more. Just wondering what’s driving that more precise but higher estimate and if we think about linearity that given what you said you’d spend in 2010 about $250 million per year. Should we think about it being a straight spend like that or will it be back end loaded?
Oscar Munoz: Let me address the second part first, linearity doesn’t quite, I think we’ll have a couple of years of increased spend and then it should taper off in the out years, sort of the fifth year. With regards to our cost estimates, they basically have been refined as a result of developing information, including the FRA’s final rule that was issued, the development of the implementation plan is being finalized this week so the components therein. Of course always the continuing climate of the specs around the technology that’s required. As you know, some of that stuff has not yet been built or tested so it does create additional things. I think this is in line with the rest of the industry as well.
Matt Troy – Citigroup: Is that $1.2 billion are you comfortable, granted these things are always a moving target but are you fairly close, in the ballpark, or could we expect material revisions as we learn about the technology and it is developing, as you said some of it is not even done yet.
Oscar Munoz: That is our current estimate and again the emphasis is estimate and we’ve had a pretty big move recently. I expect it to stay around that area but we’ll keep you updated.
Matt Troy – Citigroup: Obviously with the log jam on healthcare now removed Congressional attention can turn to other endeavors, people we talk with in Washington they’re saying the dust is starting to stir on the whole STB reauthorization we might see some activity there. You mentioned earlier in discussion, maybe if you could just give us more detail about the debate in terms of process, what needs to happen next or what happens next and again what your conversations or what your dialogue is like on the Hill.
Michael Ward: We’ve having good, active dialogues with the Senate Commerce Committee and we’re making them aware of some of the concerns we have suggesting some modifications we think that would make this a more balance and allow us to continue to make the monies to make the investments that are required. It’s still in the committee, I think you’re correct, clearly with healthcare out of the way that’s one of the issues that was crowding the calendar there but there’s also financial reform that I think they’re pretty focused on right now, potential talk around either energy or climate legislation. I think we’ll continue our dialogue with them and hopefully have something productive come out of that. At this point I don’t see any dramatic change in the pace of movement.
Matt Troy – Citigroup: A leaning on the anti-trust issue is that changing at all or is that still more status quo, jump ball kind.
David Brown: That’s probably a correct categorization. We think that may eventually be forwarded into the Senate Commerce legislation but I think that’s been an ongoing dialogue and that really has not change dramatically since our last call.
Operator: Your next question comes from Jon Langenfeld – Robert W. Baird
Jon Langenfeld – Robert W. Baird: On the intermodal side can you give us some guidance in terms of the $40 to $50 million how much of that comes out of volume and how much of that comes out of revenue per shipment?
Clarence Gooden: It comes all out of volume, it’s related to what we call the off core business which was the business that originated and terminated for the account of CSX only on the Union Pacific railroad. The Union Pacific will still handle that business but CSX won’t handle it.
Jon Langenfeld – Robert W. Baird: There won’t be shipments that go transcontinental where the revenue per shipment that you recognize is lower but you’re still recognizing the shipment count; I thought it’d be a combination of both?
Clarence Gooden: Yes, that’s correct.
Jon Langenfeld – Robert W. Baird: In that case then it will impact revenue per shipment as well? The reported number is what I’m asking about.
Clarence Gooden: Yes, it will affect the reported because we won’t have the transcontinental we’ll just have the Eastern division.
Jon Langenfeld – Robert W. Baird: Back to the original question, thinking about the mix of volume versus revenue per shipment in terms of how it’s reported in the financials should we think about that as more evenly split between volume and revenue per shipment?
Clarence Gooden: I don’t know, to be honest with you. We’ll have to get back with you.
Jon Langenfeld – Robert W. Baird: With regards to labor, you talked about up 1% to 2% so that’s up maybe as much as 5% sequentially. Is that enough to see productivity degradation because you’re bringing on workers that are less seasoned or coming off the shelf if you will?
Oscar Munoz: You said labor, just to be specific; headcount will increase between 1% to 2% year over year. Yes, sequentially that is a ramp up. As far as their productivity and ability I’ll let David answer that.
David Brown: We have a great training process that we utilize for all of our new employees. Most of our hiring is for attrition so we’re actually replacing people who are retiring and there will be some additional hiring that might add a few additional employees but they all get the same training attention, we believe industry leadership in training with our Tony Ingram Ready Center. We’re really pushing the importance of that as we have in the past because that is a key element in our sustainable improvements in safety and productivity.
Operator: Your next question comes from Jason Seidl – Dahlman Rose
Jason Seidl – Dahlman Rose: I wanted to touch a little bit more on coal, follow up on one of Gary’s questions. Could you give us the breakdown between met and thermal in the export side in Q1?
Clarence Gooden: The preponderance of it was on the met side.
Jason Seidl – Dahlman Rose: When you’re looking out and you said for the full year you expect coal to be up that sounds like a little bit of a change from what we were talking about last time when you reviewed fourth quarter. What’s the delta change is it you’re expecting a lot more export now so you’re going to eclipse maybe 30 million tons a year or is it just that now you’re starting to see thermal come back and look better?
Clarence Gooden: It’s driven mainly on the export side.
Michael Ward: One clarification, when we had our fourth quarter call last year the export haul had not yet developed and I think when Oscar was at a conference in February it had and that’s when we first said that we would be up year over year in total volumes in coal. It was largely driven by that Chinese export demand which was not apparent when we had our fourth quarter call.
Jason Seidl – Dahlman Rose: Are we still looking at close to 30 million tons for the full year or has that gone up even since then?
Michael Ward: I think we’re looking in the 30 million range.
Jason Seidl – Dahlman Rose: Could you talk a little bit about pricing between met and thermal has there been a big difference in the price increases that you guys have been able to extract?
Clarence Gooden: Yes there has, in fact we have a new export tariff that went into place April 1st that took our export rates and metallurgical rates up significantly.
Jason Seidl – Dahlman Rose: Met is going higher than thermal then? On a percentage increase
Clarence Gooden: Yes.
Jason Seidl – Dahlman Rose: Regarding PTC I listened in on a conference call where there were a lot of people talking about the technology that involved in PTC and some of the people even some of the designers of the technology on there weren’t even quite sure that it could do what everyone wants it to do. Is there a chance that the rail industry could actually push back the implementation date because of potential technology problems?
Michael Ward: I think at this point the intention of the freight rails is that we will live with the law which is to have it in place by 2015. I think there are some issues potentially in the commuter side as they look at some of their needs. Clearly there are some potential technological challenges; we think we can overcome them at this point. Should that prove to not be the case then obviously we would work with Congress to implement as quickly as possible.
Operator: Your next question comes from Jeff Kaufmann - Sterne, Agee
Jeff Kaufmann - Sterne, Agee: I want to clarify, make sure I’m hearing this right. The 14% RPU in the coal business which was fantastic, if I just assume your same store and your surcharge recovery is similar in coal as it is in other businesses, that accounts for about half of the 14% which would imply about 7% increase in RPU from more weight per car, change in length of haul, change of mix, does that sound about right?
Clarence Gooden: Yes that sounds, could be a little on the low side but it sounds close.
Jeff Kaufmann - Sterne, Agee: In your comments to Jason you talked about an April 1 tariff increase which raised the met rates as well. Could I actually see higher than 14% RPU in the next few quarters?
Clarence Gooden: You could if the coal originates at different locations and is subject to that tariff increase, the answer would be yes.
David Brown: If your river coal bounces back that’s going to pull down your RPU.
Jeff Kaufmann - Sterne, Agee: Understood, that’s shorter haul that going to Mobile. The incentive comp accrual of $48 million is that the level of incentive comp that should have occurred given what happened or might there have been some excess incentive accrual this quarter just because the numbers were so good?
Oscar Munoz: There’s a combination of things. Clearly we’re cycling some lower numbers from last year and of the number that we discussed the $40 million plus there is a portion of it that’s for longer term adjustment but predominate was for this year’s performance. The run rate is, as I said, will moderate to about $20 million per quarter for the remaining three quarters.
Operator: Your next question comes from Donald Broughton – Avondale
Donald Broughton – Avondale: I’m looking at certainly what happened with train speeds, dwell time and I understand that we had some severe weather in the January and especially February timeframe. If I look at current dwell times, so just the last couple of weeks of March, first week of April, and I look at train speeds certainly on an absolute basis train speeds are nowhere near as bad as they got in February but instead of averaging say 22 or 23 mph were only 21 mph, dwell times are not down to the 22 hours but still up at 24 or 24 ½ so on a year over year basis versus end of March beginning of April last year train speeds are still down 3%, 3 1/2%, dwell times are still up 7 1/2%. What gives you confidence that those metrics will improve from here and that that’s not volume driven, because obviously at this point of the year it’s not weather driven?
David Brown: We have seen it continue to improve since we came out of the winter weather impact. It does take a period of time because you have to apply additional resources to begin to catch up after we have the slowing down through the winter period, which really kind of lasted into mid March. We have seen that continue to improve. I would encourage you to look deeper at the velocity, look at intermodal velocity because there is a mix factor when you look at the intermodal velocity versus the total average number you’ll see that our premium service velocity is back at a higher level that reflects the fact that we are operating at normally higher speeds in terms of velocity. When you look at dwell we see that recovering more slowly but continuing to improve. Also a function of that is our operating plan and there are cycles throughout the week where dwell is higher or lower based on the operating plan, days of service for locals, operating plan days of service for general merchandise trains. All these are factors into how those numbers are determined and it is a roll up of a lot of numbers to create an average that spans a lot of factors. You’ve got to really look deeper at those two numbers when you look at the overall measures.
Donald Broughton – Avondale: But what gives you confidence, cars online are down, I would think that that would allow you to rebound faster from the weather problems? What gives you confidence that that’s going to continue to improve?
David Brown: We’re confident in our people and the fact that they are devoting the energy, time and diligence it takes to continue to improve to bring those measures to the level they need to be at, they’ve historically been at. We see that occurring and so you’ll see that in the future numbers.
Operator: Your last question comes from Christian Wetherbee – FBR Capital Markets
Christian Wetherbee – FBR Capital Markets: On the core pricing, just wondering from a seasonal perspective is there anything that would cause a potential acceleration or deceleration to core price growth as you go through the year whether it be pockets of legacy contracts that you may not have or any of the impacts of the met coal business going forward?
Clarence Gooden: There are no significant legacy contracts that are involved in the year 2010. As we’ve told you, pricing is about 85% of our contracted business is already firmed up so we feel very positive about staying in that 4% to 5% range that we’ve given you. On the spot market business we’re going to price to the market as we go forward so if you see it tightening in capacity particularly in truck markets then you’ll see us pricing to where that marketplace is taking it.
Christian Wetherbee – FBR Capital Markets: On the health and welfare cost increase you mentioned the $40 million I think per quarter. I’m assuming that is based on your outlook for headcount growth as you go forward on a sequential basis is there any variability or scaling that goes on based on the headcount that you have?
Oscar Munoz: That $40 million is the labor wage increase as well as the health and welfare and that was a projection given earlier. Volume again, obviously managed with productivity will drive, that will scale that number, that $40 million is sort of inflationary/price increase over the year. It will scale.
Christian Wetherbee – FBR Capital Markets: Meaning it will go up to the extent there are more employees on the network.
Oscar Munoz: Those are volume related costs which of course will be offset by the great productivity that Dave’s team is providing.
Michael Ward: Thank you for your participation and we’ll see you next quarter.
Operator: This does conclude today’s teleconference. Thank you for your participation on today’s call. You may disconnect your lines at this time.